Operator: Thank you for standing by, and welcome to the Arafura Rare Earths Limited December 2024 Quarterly Report Investor Call. [Operator Instructions] I would now like to hand the conference over to Mr. Darryl Cuzzubbo, Managing Director and CEO. Please go ahead.
Darryl Cuzzubbo: Thanks, Harmony, and good morning, everyone, and thanks for attending today's quarterly shareholder update. My name is Darryl Cuzzubbo, your Managing Director. And with me today, we have Peter Sherrington, our CFO. I'm going to provide you with an overview of our progress through the quarter as well as a view on market conditions before opening up to Q&A. Our most important task in unlocking shareholder value is, of course, securing the equity we need to get to a fully funded solution. As stated before, once we achieve this, we will announce our final investment decision, enabling us to move into construction. We have made significant progress this quarter against our funding strategy that we remain steadfastly confident in with the announcement of a $200 million commitment from the National Reconstruction Fund as our first cornerstone investor. This further demonstrates strong Australian government support for our project because of the benefits it brings to Australia, but also the world in diversifying the critical supply chain of NdPr that is of fundamental importance to the energy transition. You will note that the Australian government were the first lenders to commit to our project, which then helped us build momentum to secure the remaining debt. We see the same momentum building as we continue to progress our engagement with other potential cornerstone investors to lock in more than half of our required equity. These cornerstone investors include customer organizations that need our NdPr and other country government seeded funds looking to promote the diversification of critical mineral supply chains. We are confident of achieving this despite what are currently challenging market conditions. We believe that Arafura's timing of constructing Nolans will prove to be a very well-timed countercyclical investment. We continue to target a final investment decision by the end of this half and are doing everything we can to progress funding as fast as possible. However, I do need to continue to point out that the time lines are driven by our potential cornerstone processes and due diligence and that we are progressing this in a market where NdPr pricing is coming off multiyear lows. The recent National Reconstruction Fund commitment, as an example, took many months to conduct due diligence and to negotiate as they made sure that this commitment reflected their mandated objectives and we made sure that this commitment would look after current shareholder interest as well as drawing new investors whilst not conflicting with our lender agreements. The reason why we know we will ultimately be successful is because there is a lot at stake across the globe. We are talking about electric vehicles and wind turbine sectors whose revenue will ultimately be measured in the trillions of dollars per annum being dependent on NdPr supply where demand is expected to double over the next decade. As it stands today, nearly 90% of supply is controlled by one country. If you look at the supply side of the equation, we are the only NdPr ore to oxide project that is ready to move into construction. In other words, there are not a lot of near-term options to solve this growing structural supply deficit and dependence on NdPr supply, hence, what I know we will be successful. We often get asked about how our offtake agreements are progressing. Our biggest draw card in securing equity from customers is our offtake. Consequently, you can expect future announcements on large offtakes to be linked to equity. We have demand for our offtakes that exceed our offtake target by 2:1. Being able to sign up straight offtakes has not been difficult for some time now. In terms of our cost forecast, we are in line with or running slightly better than our forecast. We have a cash runway that takes us into the third quarter of this year with a healthy buffer. Most activities during the quarter revolved around advancing our funding strategy, securing or improving our position with project-related contracts and engineering assessment of CapEx and operating improvement initiatives, noting that we will always be pursuing improvement initiatives to offset the inevitable CapEx and schedule pressures that arise over time. We continue to look at ways to reduce spend and trade this off against our ability to be ready to start executing the project as soon as we call FID. It is important that we have the people, the planning and contracts ready to go immediately post FID so that we can enter execution on the front foot where spend and project activities are well controlled from the get-go. This will help ensure that safety, cost and schedule can be well managed from the very start. You only have one opportunity to enter project execution phase in a control state, which sets you up to remain in control. If you don't enter construction phase in a well prepared and control state, it is very difficult to get back into a well-controlled state whilst protecting the schedule. And lastly, allow me to make some comments on the market conditions. You'll have noted that NdPr pricing over the quarter has shown some firmness and is sitting some 25% above recent multiyear lows. As we think about pricing, it is very important to distinguish between short-term pricing dynamics and medium-term pricing dynamics, which are ultimately much more important to Arafura. Short term, we have China controlling nearly 90% of NdPr production where they've been setting production quotas that have suppressed pricing to where they have been at times losing money or essentially profit neutral, which is clearly not sustainable. The medium-term dynamics, however, will be more defined by the doubling of demand over the next decade, a pretty bare supply pipeline of NdPr projects being able to come into production over the next 5 to 10 years, governments and large multinational NdPr-dependent companies becoming increasingly anxious about the need to grow and diversify supply. And lastly, the introduction of tariffs or other forms of trade constraints coming out of the U.S. or Europe. I think it's fair to say that any announcements regarding further efforts to encourage diversification of NdPr supply is going to be good for us, knowing that the forecast to Argus project that an inducement price for NdPr needs to be some 2 to 3x what we are seeing today in order to see sufficient NdPr supply emerge outside of China. Arafura is very well positioned for this change in dynamics, given that we will have the first -- we will have first quartile unit cost production due to our phosphoric acid byproduct credits, where even at today's pricing, we would be materially cash flow positive. In summary, we have the right project at the right time and are well progressed on our funding strategy to turn our vision into a reality. Harm, I'm going to pause and hand back to you. Peter and I would be very pleased to take any questions.
Operator: Thank you. [Operator Instructions] There are no phone questions at this time. I'll hand back to your speakers to address your webcast questions.
Shaan Beccarelli: Thanks, Harmony. Darryl, I can go into the web questions now. We've got 2 questions from John from Fairhaven Investments. And they're on -- the first question is on market conditions. So, John says lots of people talk about the ex-China NdPr market being formed, yet the doubters always point to Lynas and their low offtake rates and then to Iluka and Arafura with no offtake locked in. What can you tell us about the ex-China market, i.e., are there lots of Tier 1 players out there that want to lock in for all the geopolitical reasons, but they won't lock in until after FID to maintain their relationships with China. Point out to all the work that you have done with other parties, for example, ESG and also lots of talk about tariffs. My modeling shows a massive supply deficit. Why has the market not responded accordingly?
Darryl Cuzzubbo: Yes. So, a very good question, John. I think this goes to the essence of what many investors are thinking about. Let me make some comments on our negotiation discussion with Tier 1 players in this space. Let me also talk a little bit to the change in dynamics that we see, which I've alluded to. And thirdly, what we can do as a sector to speed up this change in dynamics. So firstly, let me just share -- I've shared this quite a lot. Last year, the average price for electric vehicle was $53,000. The cost of NdPr that enable that vehicle today is $55. So, there's like 1,000:1 multiplier here. So ultimately, ultimately, it will come down to supply security because if you have to pay 3x the price, that's an extra $100 or so per vehicle, you would do that to get out a $53,000 vehicle. So, I think that's important. We see that play out with our discussions with both electric vehicle manufacturers and wind turbine manufacturers. And as a result, we've got floors in our contracts that sit above the current price and those floors give us some downside protection so we can cover our costs, our debt commitments, et cetera, et cetera. So that kind of indicates that ultimately suppliers -- sorry, customers want to see the supply coming into the market and are happy to put a pricing floor to protect that. Today, the market is well supplied by China. But as demand doubles over the next decade, as you rightly say, there will be a structural deficit and that will change the dynamics and switch it more to supply security than what we have been seeing, which is more price sensitive. What we can do as a sector, so that's going to change the dynamics. And you've seen that in the past. When there has been a supply deficit, you've seen the pricing get up to $200 a kilo. So, you've seen that happen in the past. So, when we see a structural deficit in the future, you can expect spike in pricing. What we can do as a sector is facilitate moving to a better price index and one that excludes China's domestic production and one that is focused purely on exports. There are forecasters that are prepared to establish that index. We need to put volumes to that index as do others. Consequently, we need to hit an 80% offtake target for our lenders, but we won't be going over that 80%. So, we've got 20% volumes that we can put against this new index as it's established. So just in summary, I think the dynamics will change. We will become more about supply security than pricing that we will see very different pricing emerge in the market as we've seen in the past. And I think as a sector, there's things that we can do to facilitate that change.
Shaan Beccarelli: Thanks, Darryl. We've got another question from John and he's talking about Phase 2. He asks, could you please talk about how you envisage funding this Phase 2 from savings from Phase 1 and profits in the early years and that you will, at this stage, envisage not needing to return to the markets, i.e., no more capital raises to fund Phase 2. This will encourage people to start factoring in Phase 2 into their valuations. With 191% offtake, Phase 2 will be hotly contested.
Darryl Cuzzubbo: Yes. That's another good question, John. I think it's partly a question and partly, I think, a statement. So, as we announced in July of last year, our intention is to fund Phase 2 out of Phase 1. Why do we want to do that? We think it's prudent from a financial reason to do that. It does mean we don't see us under that scenario raising additional equity, but it's also prudent because we want to commission and ramp up Phase 1. We will learn out of Phase 1 opportunities around debottlenecking that we can then put into Phase 2, where Phase 2 will ultimately be more capital optimized than Phase 1. So, more volumes for less CapEx. So, there are 2 reasons why we want Phase 2 to be funded out of Phase 1. I think very importantly, we've positioned Phase 2 to become a processing hub. Not only does that give us another growth trajectory for our company where we can bring in rare earths from other projects, but it will help unlock Australia's rare earth sector, noting that you only need 30% of the capital to get to a concentrate that would feed our plant. And you can see that these other rare earth projects, not only would we help them get up by lowering the capital, we're giving them an avenue to get into non-China markets as well.
Shaan Beccarelli: Thanks, Darryl. We've got a question from Mick now. And he says, for so many quarterlies, the company publishes the same contract negotiations without progress. Can you please provide some context around this?
Darryl Cuzzubbo: Yes. So good point, Mick. And this is something that I alluded to in my introduction because we get a lot of questions from investors. We've got the Hyundai and Siemens Gamesa contracts locked in. And that's 58% of our 80% target. We're in negotiations with different parties that if they all concluded, would lock up double the volumes that we actually have available. We are using the remaining volumes to pull in equity. So, with the interest that we have in our offtake, which is significant, we're saying, well, if you want that offtake, you've got to put equity into the project. And we're holding out on that to bring in equity. So, as I said in my introduction, you can expect any future announcements around large offtake agreements to be linked to equity. So, as we secure the remaining equity, you will see that we secured the remaining offtake agreements.
Shaan Beccarelli: Thanks, Darryl. We've got 2 questions now on Trump, which isn't a surprise. One from Jan and one from Patrick. And they're both asked, any comments on Trump's administration policy in relation to rare earth support legislation for Greenland. And then Patrick asks what Trump policies are on the top of your mind?
Darryl Cuzzubbo: Yes. So, that's a very good question. So, let me make a few comments here. So firstly, the support for electric vehicles in the U.S. is being reduced. We are not worried about that because they only make up about 12% of global sales and electric vehicles will hit a tipping point where they are better or commercially a better option than conventional vehicles as economies of scale build out. So, we're not worried about the pullback in EVs in the U.S. sector. What I think -- I'm not sure if you go and read the executive orders that have come out from the new Trump administration, they actually refer to critical minerals and rare earths and about diversifying supply chain and securing supply quite a number of times. As actions and as policy plays out to meet that intent, I think that's going to be good for the rare earth sector generally. I think it will be particularly good for us for 2 reasons. One, we are ore to oxide. The reason we're ore to oxide is because we can be ex-China. We can process to a point where we're not dependent on processing capability in China. So, if you look at almost all other rare earth projects, they're dependent on processing capability that today only exists in China. We're not. That's a differentiator for us. The second differentiator for us is that we're construction ready. So, if you look at other projects, they still have some time to go. You made a comment around Greenland. And who knows what's going to happen there. But what I would point out is the average time it takes to find an ore body and get it into commercial production is 18 years. So, us having all of our approvals being construction ready, having our debt locked in positions us very well to benefit from this coming structural deficit and if you look at the rare earths pipeline, there's a number of rare earth projects, but they're pretty early on in the development pipeline, which is on average an 18-year time line.
Shaan Beccarelli: Thanks, Darryl. We've got 2 questions from Glenn. He's asking, when is this going to be built? And he's getting quotes, you know we will be successful. He's wondering if that is investment advice.
Darryl Cuzzubbo: So, I can't give investment advice. What I can say is we're reflecting our confidence in our funding strategy, the progress we're making. Look, when it will be built, so we've got one piece of the jigsaw puzzle left, right? So, we've got all the approvals that we need. We've got the 58% of our 80% offtakes in place. The remaining will be locked in with the equity. We've got over $1 billion of debt secured with $280 million of that in completion support, which significantly de-risks the execution of our project. And the remaining piece, the one remaining step is securing the equity, of which this quarter we made a significant step forward in securing $200 million from the National Reconstruction Fund. So, as we secure the remaining equity, as soon as that is done, we will be moving into construction, which we're targeting at the end of this half.
Shaan Beccarelli: Thanks, Darryl. That also goes to Jan's question where he's asked for the time of FID.
Darryl Cuzzubbo: Yes. So, we're still targeting the end of the half. But as I said in the introduction, we're very -- we are dependent on our potential cornerstone time lines have their own processes and due diligence. And when we get questions, we're very responsive. We do everything we can to support their processes. But ultimately, we're dependent on their time line and processes. But they've got some of their own pressure as well. So with our customers, they see a supply deficit coming. And ideally, they'd like our offtake early and we say to the world, you want that and sign up to an offtake and equity deal.
Shaan Beccarelli: Thanks, Darryl. Question from Jan again. EV uptake slowdown in Europe, any concern for the future?
Darryl Cuzzubbo: Yes, that's a good question. So, when you see -- so I'm not that worried about. So, if you look at Arafura, we have a 3-year construction time line. So, we need to be looking more at medium-term dynamics rather than dynamics today. If you look at EV take-up, it will likely continue to be, I think, exponential, but there will be blips along the way. And the reason why I say that is because compare electric vehicle to a conventional vehicle. So firstly, in terms of the cost of electric vehicle, they're coming down. And as economies of scale, they'll continue to come down. As the infrastructure builds, the charging infrastructure builds, you can then see the take-up continuing to grow. And thirdly, you might be -- if you're following electric vehicles, they're talking about -- different manufacturers are talking about the solid-state batteries that have over 1,000 kilometer range, you can charge them very quickly. So, as you see those 3 things happen, so you see the cost of EVs come down, you see the charging infrastructure built out and you see the range and the charging times same or better than conventional vehicles. Why would you not buy electric vehicle? So, I think the long-term trend for electric vehicles is going to be -- continue to be strong. But of course, there's going to be blips along the way. We talk about demand doubling over the next decade. If you follow other rare earth companies, they're expecting it to be more than that.
Shaan Beccarelli: Thanks. We've got a question from Rhonda from Paydirt Media. Is there an opportunity to go further downstream in processing products from the oxide in the future?
Darryl Cuzzubbo: So, there is the opportunity, but we just don't see the value in it, right? So, if you look at getting to an oxide, that's 95% of the value chain to get to a metal. There is a number of companies that are or will do metalization. We just don't think we'll get the return for that last 5%, the capital return. So that's why we're not pursuing it. And we don't need -- as part of our strategy, our ex-China strategy, we don't need to. If that changes, if we think we would get a strong return on the capital, then we would reassess that. But as it stands today, we just don't see that the return is there.
Shaan Beccarelli: Thanks, Darryl. We got a question from Andrew. He's asking, is the sulfuric acid currently under binding offtake and to whom.
Darryl Cuzzubbo: Yes. So it's not. It's not. Very, very good question, though. So, in our economic model, so if you look at the phosphoric acid that we will produce, it is better than merchant grade acid. But in the economic model, we've got it being sold as merchant grade acid. And there's a strong demand with fertilizers for phosphoric acid. But there is an opportunity for us to look for customers that are prepared to either pay or process it further into a battery-grade phosphoric acid. That would give us a lift in the revenue, but we have not assumed that in our economic model. There is not an issue in selling merchant-grade phosphoric acid into the market. It's a very large market, and as you would expect, given the volume of fertilizers that sold globally.
Shaan Beccarelli: Thanks, Darryl. We've got a question from Greg. He's asking, are we speaking to multiple cornerstone investors in parallel for the final piece of the puzzle? Or are you down to a preferred?
Darryl Cuzzubbo: No. So Greg, you're 100% right. So, we are talking to multiple players and we've got some redundancy there. So, we've engaged with multiple potential cornerstone investors that would get us well above the 50%. And if one of them dropped out, we would still be okay. So, we've done that deliberately, one, to get to a fully funded solutions quickly as we possibly can, but also have some robustness and redundancy in it. I'd also just say if you look, we're focused on the Korean and the European markets, you can see that in our offtakes and you can see that in our debt stack. And we've got a similar sort of profile on the equity side as well.
Shaan Beccarelli: Thanks, Darryl. That ties into Nick's next question. Hyundai, Kia, still solid noting conditions precedent. Is Hyundai an equity candidate despite already committing to offtake? Is GE still in the game?
Darryl Cuzzubbo: Peter, would you like to take those questions?
Peter Sherrington: Yes, no problems. So in terms of Hyundai, obviously, we're working very closely. They're a key offtake party. They're very close to understanding where we are with our equity process. But in addition, we actually have announced previously an MOU with them around equity. And whilst they haven't given a binding commitment to participation in the equity stack, we still see them as a target. And it's likely that they'll be wanting to see how the fully funded solution looks in order to make their final decision around a potential equity investment. What we need to bear in mind with a group like Hyundai, for example, is that investment at the mine site is not something that's common for them. So it's a very, very different transaction. And so there's been a lot of work with them to develop a syndicate of equity holders that gives them some comfort. So second part of the question was in relation to GE. So GE, we still maintain engagement with on offtake. What we have seen in the offshore wind turbine sector, there has been some strengthening of some key players. And in terms of GE, they have actually had some rationalization of their European-based wind turbine manufacturing, which does make our negotiations with them more difficult and they haven't grown in the market as much as some of the other competitors and one of the other groups that we're engaged with. So, we still have them in the group, but they're still being included in the factor of the final group. But as Darryl mentioned, we actually have some redundancy within the offtake groups, but we still would like to see them come through as part of the final offtake group.
Shaan Beccarelli: Thanks, Peter. That ties into a question from Stephen. Why is it taking so long to secure the remaining equity offtake? Darryl, you're on mute, sorry.
Darryl Cuzzubbo: Thanks for that, Shaan. Sorry, Stephen. Good question, Stephen. Look, it's really 2 things, right? So, one is when we're engaging with these potential cornerstone investors and I use the National Reconstruction Fund as an example, they are looking for certain outcomes and we're looking for certain outcomes. And we're talking significant commitments here. So, with the National Reconstruction Fund, it was $200 million. So, it involves extensive due diligence and that covers everything from contracts, from environment, from project execution, capability, approvals, et cetera, et cetera. So that takes some time, but also just negotiating an outcome that fits with their objectives and fits with our objectives where we're looking after -- we look for 3 things. We look at making sure that we're looking after our current shareholders. We're making sure that we can bring in future investors. And thirdly, that we don't agree to anything that would conflict with our lenders agreements. And it's just -- it's difficult and it takes some time. The other thing that's probably not helping us is just the NdPr pricing and the general market conditions. There's been a level of uncertainty, as you know, in the market. And with NdPr pricing, we are coming with multiyear lows. We will ultimately get there, but it's probably been a little bit more challenging than we would have liked.
Shaan Beccarelli: Thanks, Darryl. Then that ties into a question from Glenn, who's asking how much equity is left to secure.
Darryl Cuzzubbo: Yes. Good question, Glenn. So we -- the total equity is AUD 1.2 billion. We want to secure at least 50% of that with cornerstone investors and we're tracking well against that before we go to the broader market. And the $200 million that we secured with the National Reconstruction Fund is the first key step of securing that 50% or more of equity from cornerstone investors.
Shaan Beccarelli: Thanks, Darryl. And Kim is asking how long will the construction take to get into production?
Darryl Cuzzubbo: Yes, Kim. So, 3 years to build the -- 3 years for construction from the point of calling a final investment decision.
Shaan Beccarelli: Thanks, Darryl. We've got another question about would it be prudent to start some construction in smaller stages to demonstrate commitment with directors being on the Board for 17 years with no site completion?
Darryl Cuzzubbo: Yes. So, what we have done is we have got the site ready to release main construction contracts. So, we've put in 10 kilometers of roadways as an example. That means we've got access across the whole site, which means we can release construction contracts across the whole site and not needing to wait to put in roadways. We put in camp facilities for 250 people. So again, we can house and look after people from soon after to support construction. And we put in 26 kilometers of water pipeline and have commissioned those facilities again in support of main construction activity. So, we did that early work and completed that. We don't intend to commence any further construction activities and don't need to until we have a fully funded solution.
Shaan Beccarelli: Thanks, Darryl. Andrew is asking, are renewables, solar and large battery storage part of the early power supply option or a later option?
Darryl Cuzzubbo: Yes, it's a good question. So, we are working through our power supply plan with a preferred supplier. That does include renewables as part of the first phase and it enables us to switch more to renewables over time. But initially, there will be around 10% renewables in the initial phase and we'll transition more to renewables. One thing I would add is where we are is very well positioned in terms of renewables. Obviously, center of Australia is very good in terms of solar efficiency, but also wind at night as well. So, we're well positioned. And yes, renewables will be a part in the early phase and we will transition more to renewables as we get to -- as we work towards our net zero target.
Shaan Beccarelli: Thanks, Darryl. Another one from Jan. He's asking, can you please comment on change in construction price from past plans?
Darryl Cuzzubbo: Yes. So, we gave an update at the back end of last year -- an update, sorry, in the middle of last year and then we had provided an earlier update at the back end of '23. And the construction costs have gone up by about 6%. So, we're seeing our CapEx being relatively stable. But with that said, we're continuing to look at CapEx improvement initiatives so that we can offset the inevitable CapEx pressures. And to date, we've been -- I think we've been successful in doing that. But if there's a material change to that, we will update the market.
Shaan Beccarelli: Thanks, Darryl. Nick is asking, is the low NdPr price creating some complacency in the market? Or are offtakers and cornerstones well aware of the midterm pricing expectations?
Darryl Cuzzubbo: Yes. Look, the low NdPr pricing certainly isn't I would say, helping general investors. However, in terms of offtakers, large offtakers see that the pricing is being controlled and that makes them nervous. It just emphasizes the need for them to diversify the supply chain. If you look at the EVs and wind turbine multinationals, they're showing significant growth. And today, that growth is dependent unless you're in Japan, that growth is dependent on China. So, they know they need to diversify supply chain and the low NdPr prices actually just go to, I guess, the dominance of one country and hence, the need to diversify supply chain. Peter, do you have any comments to add to that?
Peter Sherrington: I'd agree with you entirely there, Darryl. I mean the strategy has not been changed by the short-term price and perhaps for the wind turbine makers who are constantly in the market, they actually are aware that the price that is being paid at the moment is not sustainable even for the Chinese producers, which concerns them that there is not a profit market operating. And they see that as a way of preventing new production coming on to the market. I would say though that there is one thing that the lower price, whilst the strategic views haven't changed and people are very focused on what the future demand supply position looks like, the softer price does remove urgency from people needing to make decisions as well. And that's one thing we are seeing to some extent.
Shaan Beccarelli: Thanks, Peter. I've got another question from Jan asking, do we have any plans to favor in future -- favors in future to long-term investors, options, special rights, et cetera?
Darryl Cuzzubbo: Do you want to answer that, Peter?
Peter Sherrington: Look, so I suppose it goes to the quality of the strategic investors that we're trying to bring into the investment stack. So, we're trying to bring in groups who have a long-term interest in the -- as the cornerstone in the market, whether they be people who have a significant interest in the NdPr market or whether it be an offtaker who has a strategic interest or a state-backed fund. We really see those groups as being strategic and having a very long-term investment view. And I suppose the easiest thing to do is to point to the NRF convertible, which has a 15-year tenure, which is a very long tenure for a convertible. So again, we've spoken with a number of groups for significant funding in the form of convertibles that have never been able to structure in a way that doesn't expose the rest of the shareholder group to short-term issues on conversion, whereas the NRF provided us with long tenure conversion terms at 40% above the reference price, potentially deferring and reducing dilution. So again, that's an example of where we've tried to take into account bringing in investors who are looking longer term and to work side by side with existing shareholders.
Shaan Beccarelli: Thanks, Peter. We've got a question now on -- from Jan again on shorting. So, can we provide an update on Arafura's sector, ASX or global exploration companies' shorting?
Darryl Cuzzubbo: Yes. Let me make a couple of comments and then Peter, please feel free to jump in. So just -- so let me make -- so again, we get asked this a bit. So first, in terms of covered shorting, it's obviously legal, so there's only so much we can do. We do get reporting on shorting to try and point out or get any kind of insight as to who is shorting and transparency is limited. When we do -- we've done equity raises in the past, we are strongly biased towards investors that have a long-term mandate. So, I feel like we're doing everything we can. We're as frustrated as anyone about the shorting and impact it has on us. The other thing I would just point out is if you look at our shorting levels, we're just over 3%, we actually -- our shorters are actually quite low compared to others in our sector, which tends to indicate the quality of the investors that we have pulled in, but it's something that we're acutely aware of. And the last point I would make, there's things that are not in our control and there's things that are in our control. And the best thing we can do is to focus on getting our project fully funded and into construction so that shorters don't bet against us. Peter, did you have any comments to make?
Peter Sherrington: No, I think you've covered it, Darryl.
Shaan Beccarelli: Thanks, Darryl. I've got two questions on our gas contract. So, John is asking why were the gas contracts pushed to the 4th of Feb and not to later in the first half of '25? And then another question from [Yurone] asking, how did Arafura and the Mereenie Partners land on new condition precedent date of Feb 4 when the last CP dates have been at the end of H2 F '24 and H1 F '25?
Darryl Cuzzubbo: Yes, good question. Good question. So, let me share with you what I can because obviously, these conversations are commercial in confidence. You might be aware that the supply agreement -- the gas supply agreement with the Mereenie JV was -- had a CP [indiscernible] at the end of next calendar year. We're in the middle of negotiating an extension to that and to give us more time to complete those negotiations, that was pushed out to the 4th of February. We are well advanced in those negotiations. So, you could expect announcement before the 4th of February. But the other thing I need to add is that the supply -- gas supply situation in the Northern Territory is improving with time with the opening up of the Beetaloo Basin. So that opens up longer-term multiple options for us and we've also been engaging with those other options. So, I would -- and the reason for sharing that is I think the risk around gas supply, cost competitive gas supply is reducing, not increasing.
Shaan Beccarelli: Thanks, Darryl. I've got 2 questions in the same theme from Andrew. Just asking what is the total CapEx? And I'll just read out the questions. AUD 1.2 billion in equity is substantial on top of debt secured. That is way of a CapEx advised around AUD 1.8 billion. And then another question, target is AUD 1.2 billion for equity. Do we need the full AUD 1.2 billion to proceed? Can we use more debt facility and less equity if required?
Darryl Cuzzubbo: Peter, do you want to take that one?
Peter Sherrington: Yes. Look, it's a good question and it's probably going to be hard to answer on the call. And what I would suggest is that -- so in terms of how the stack for funding the project around equity and debt goes rather than talk numbers, it's probably easy to go back to the presentation we prepared in the middle of last year when we announced the final debt. And on Page 8 of that presentation, it actually has a source and uses of funds in graph and then quite a lot of detail around it. So that would be the best reference point to run through those numbers. But what I would say is the figure that Darryl mentioned of AUD 1.2 billion or basically $790 million is the equity requirement to fully fund the project. And that includes our cost overrun facility of $80 million. The debt funding that's included in there is $775 million of senior debt. And that -- in addition to that, there are cost overrun facilities and then a standby liquidity facility. So, we're at the point where we've structured the debt to the maximum amount that we think is sensible for the project. And so the remaining requirement of the equity is really required to be secured in order to commit to bid and commit to the contracts and start to spend the money on the project. So that is the number that we need to lock in. Any additional debt would probably not acceptable to the lenders. But -- so I'll rattle off some of the numbers. We wouldn't have answered all of your questions and there's probably a lot of detail on that slide and that source and use of funds. I'd really direct you to that slide to get a good understanding of how that debt stack and the funding stack is made up.
Darryl Cuzzubbo: Just what I would add to that is the fully funded solution picks up the capital for the project. It picks up financing cost. It picks up additional contingency or cost overrun facility, but it also picks up the working capital that we need through the commissioning phase. And as Peter said, this is -- I think it's very well laid out in past presentations and announcements.
Shaan Beccarelli: Thanks, Darryl. I got a question from Stephen. He's asking, would or could new processing technology have an effect on the current design? And if yes, how quickly could you adapt that wouldn't hinder the build?
Darryl Cuzzubbo: So, good question. So firstly, we have a doctor in our team that's continually -- PhD doctor that's continually looking at new technologies. There is a new technology developing in early days in separation. So, we're monitoring that. The rest of the process, we don't see a lot of movement in technology. If new technologies does develop, then that is probably going to be more something that we would look at for Phase 2. We're not going to -- we will be very reticent at switching to a different technology that isn't very well proven today. But Phase 2, we've got more time to assess that. And we're continually looking at new technologies and what our competitors are doing.
Shaan Beccarelli: Thanks, Darryl. We've got a question asking the situation on China becoming a rare earth importer rather than exporter as predicted in the past.
Darryl Cuzzubbo: So, China already imports significant concentrate, particularly from Myanmar. And in fact, if you look at their production growth over the last 12, 18 months, that's actually all been fed by importing concentrate. So, it actually hasn't come from additional mining in the country. And we've seen China quite active in mopping up rare earths projects outside of China that produce a concentrate. And this is a win for us, right? This just goes to further differentiate us as an auto oxide processing plant line to processing oxide where we can bypass China. So, for electric vehicle manufacturers ex-China, the wind turbine manufacturers, they're obviously coming to us because we're not dependent on the processing capability in China. But China strategy has been to lock in importing rare earths concentrate, so they control -- will continue to control the supply chain.
Shaan Beccarelli: Great. Thanks, Darryl. It looks like we've just got one last question. Jan is asking for an update on Hancock, Gina and relations with Arafura.
Darryl Cuzzubbo: So obviously, Hancock has been a major shareholder for us for at least 18 months or so now, probably 2 years. They continue to be very supportive of us. We keep them updated frequently. They're supportive of our funding strategy. That's probably all I can say at this point.
Shaan Beccarelli: Thanks, Darryl. That was the last question.
Darryl Cuzzubbo: Okay. Thanks, Shaan. Look, we'll call it a wrap there. So, thanks again to everyone for dialing in. We appreciate your continued support and do not take it for granted. If you have any further questions, I'd encourage you to send them through to us as per the contact details that you'll see on our ASX announcements. Let me conclude by saying that our key activity in unlocking shareholder value is getting the project fully funded, at which point we will move into construction. The last quarter saw significant progress being made against that objective where we secured the National Reconstruction Fund commitment of $200 million as we continue to successfully execute our funding strategy. Thanks, everyone, and talk to you again soon, no doubt. Bye-bye.